Susan Davy : Good morning, everyone. Thank you for joining Paul and I today as we share Pennon's half year results for 2021/'22. I am pleased to report resilient performance across the group. We continue to build momentum, drive sustainable growth and ensure we are well positioned to help tackle climate change. This, together with an evolving environmental strategy, will deliver a step change that we all want to see for our region now and for generations to come. We continue to pursue a relentless approach to improving operational performance through innovative solutions, in turn, keeping customer bills as low as possible at a time when customers need supporting most. I am pleased to report that 85% of our outcome delivery incentives for South West Water are ahead or on track, and we continue to accelerate our investment plans to support customer benefits. Pennon Water Services is delivering growth, targeting sustainable brands and continuing to differentiate in the market through leading customer service. Both businesses have delivered organic underlying growth with increased revenues driven through higher demand levels as we see more people either moving to or visiting the region as the economic recovery in the South West picks up. Our strategy is to adopt a twin-track approach to drive sustainable growth, pursuing both organic and acquisitive opportunities. Bristol Water's performance, since we acquired it in June, is ahead of our early acquisition expectations. Earlier this month, we received unconditional clearance on our 30% non-household investment in water to business. However, as anticipated, the CMA process regarding the regulated water business is ongoing. Our £82 million investment in the Green Recovery initiative and £80 million renewable energy investment are progressing as planned as we invest in projects to improve public health, the environment and the health of our regions' rivers. We are well positioned for the future, focusing on investing and building the capabilities in our people who tirelessly deliver for customers and communities. And we are evolving our environmental strategy to enable that step change we all want for our region. Since the start of the pandemic, there's no question that public perceptions of the role of responsible business has heightened with ever-growing expectations that societal issues are tackled head on, whether that's addressing the climate crisis, championing diversity or promoting social mobility as a responsible employer. Pennon has always been at the forefront of doing what's right, guided by our values. As a signatory to the UN Race To Zero campaign, we are on track to deliver our net zero commitment by 2030. Our approach, which we call Our Promise to the Planet, has 3 pillars. Sustainable living is focused on our own operations, making sure we are increasing efficiency, switching to lower carbon fuel sources and decarbonizing our fleet. As one of the biggest water users in our region, we are also targeting to reduce our own usage year-on-year. We are investing in a step change in renewables to increase our self-generation, targeting 50% by 2030 and ensuring we are purchasing 100% renewable energy for the balance that we don't generate. Our final pillar is focused on reversing carbon emissions, leading the way in natural carbon sequestration through peatland restoration. And with this week being National Tree Week, we have already achieved our 5-year, 100,000 tree planting target, and we are now on extending this target to 250,000 by 2025. Supporting our talented people, customers and communities is key. I continue to focus everyone on helping to make Pennon the best place to work for our employees and the best company to work for in the Great South West. Pennon's 2,500 employees who live in the region and love what they do deliver for customers and communities 24 hours a day, 7 days a week and are a force for good now and for the future. It's why we're so focused on developing the workforce of the future, recruiting over 1/3 of our planned 500 apprentices ahead of plan and also recently welcoming our very first intake of graduates. And in response to helping the region recover from the pandemic, we were the first U.K. water company and the first business in the South West to sign up to the Kickstart scheme, supporting young people from disadvantaged backgrounds with meaningful work placements. With many now complete in their 6-month placement, we're delighted to see many of them opting to stay with us permanently, strengthening our pipeline for the future. We've also focused on creating a diverse and inclusive place to thrive for our 2,500 employees and the communities we support. That's why we're the first water company to sign up to the Change the Race Ratio, campaigning to increase racial and ethnic participation in British businesses, and last week helped launch the U.K.'s first diversity and inclusion index. Additionally, we have been participating in the #10000BlackInterns initiative for the first time. We are focused on supporting our customers at a time when they most need it. With bills lower today than they were 10 years ago, we have also unlocked £3.8 million of support for customers in need of financial assistance. We continue to build on our credentials as a responsible business. Pennon was the first water company to sign up to the Fair Tax Mark in 2018, demonstrating a commitment to transparency and openness, and we have again achieved accreditation this year. As pioneers of the first Sustainable Financing Framework, we have raised over £1 billion of financing matched to our operational objectives and outcomes. We have been improving ESG performance and are 1 of only 3 companies in our sector to sign up to science-based emission reduction targets. We have responsibly deployed capital this period. We have strengthened the balance sheet, reduced debt levels, increased pension contributions as well as focusing on carefully planned investments in U.K. water. We have delivered resilient financial performance in the period. For South West Water, we have maintained the return on regulated equity momentum, doubling base returns at 7.8%. Bristol's financial performance is ahead of expectations, and Pennon Water Services is delivering growth and contributing to profits. We are also uniquely placed in the sector as the only water company who shares financial benefits with customers in other ways, giving customers a stake and a greater say in what we do and ensuring we focus on doing the right things in the right way. This is our unique WaterShare+ scheme. With plans to carry out a second issuance of WaterShare+ next year to include Bristol Water customers, we are absolutely committed to ensuring we are delivering sustainable value for all. And finally, our dividend policy at CPIH plus 2% of 11.7p for this half year recognizes those who place their trust in us to do what's right and who rely on us for their income with the majority of shareholders either customers, charities, employees or pensioners in the U.K. I'll now ask Paul to talk you through the financial highlights.
Paul Boote: Thank you, Susan, and good morning, everyone. I'm pleased to report that the financial performance of the group has remained resilient and is in line with expectations. During this period, we have seen our like-for-like revenues increase by 8.8%. This was predominantly driven by business customers reopening following the easing of COVID restrictions earlier in the year. This feeds through to a 1.8% increase in like-for-like EBITDA. And when we include the performance of Bristol Water, which we acquired at the start of June, EBITDA is 14.3% ahead of the same period last year. South West Water continued to deliver a sector-leading effective interest rate at 2.9% as the group's efficient funding mix and hedging strategy have minimized the effects from higher interest and inflation rates. Earnings per share, adjusted for the share consolidation that was completed in July, are up 14.2% to 30.6p, which supports our sector-leading dividend growth policy of CPIH plus 2%, resulting in an increase of 4.9% in the interim dividend per share of 11.7p. The group's underlying revenues have increased by £70 million to £389.3 million. This represents a 22% increase on the same period last year. There are 3 key aspects I'd like to draw out to explain this increase. Firstly, the acquisition of Bristol Water has added £41.6 million to the group's revenue in the half year. We acquired Bristol Water on the 2nd of June, so the £41.6 million is essentially 4 months' worth of trading. Secondly, Pennon Water Services' successful growth strategy of focusing on sustainable large businesses has further increased revenues by £10 million in the period. And thirdly, the COVID-19 pandemic had significant impacts on revenue last year, and it's pleasing to see revenue associated with business customers recovering back towards near pre-COVID levels. This recovery in business customer demand has added over £10 million in the period through South West Water wholesale revenue and Pennon Water Services. In addition, revenue from developer services and new connections in the South West Water region increased by £6.8 million as activity in the construction industry has much improved on last year. It is also notable that the pandemic has resulted in a substantial population increase in the South West. So whilst we are seeing non-household demand returning to pre-COVID levels, this is currently not the case for the household demand, which continues at a high level. These trends have resulted in a record high demand during this period. The group's profit before tax at £90.4 million is up 4.3% compared to the same period last year. This includes a healthy contribution from Bristol Water of £7.2 million achieved over 4 months of trading. EBITDA increases in South West Water and Pennon Water Services include the impact of higher costs, driven by higher levels of demand and associated operational activity. This increased EBITDA is more than offset by increases in depreciation and interest charges. The increase in depreciation reflects new assets coming into operation and the higher net interest charge as a result of inflation increasing significantly over the period. It is pleasing to know that Pennon Water Services is now making a positive profit before tax contribution to the group. Given the seasonal profile of revenue and the expectation of continued inflationary pressures, we expect the group's full year results to be weighted towards the first half of the year. The group's tax charge this period includes the impacts of the government's recent changes to tax rates and allowances. The introduction of a super deduction capital allowance rate, which is designed to encourage businesses to invest, has reduced the amount of current tax for the period. This, together with deductions from our responsible contributions to our pension scheme, has reduced the group's current tax rate to 7.2%. As flagged at the year-end, the now enacted future change in corporation tax rate to 25% has resulted in a noncash deferred tax charge of £97 million. Consistent with past practice, this item is treated as non-underlying. Turning now to our sustainable net debt position. There are 2 elements I would like to highlight. Firstly, cash generation has remained robust through the period, and we continue to closely monitor cash collections as the government's pandemic support reduces, with the full effects perhaps still to be seen. In total, the group's cash inflows for the period were £168.7 million, including a £16.6 million contribution from Bristol Water. Secondly, the net debt position also reflects the responsible deployment of capital. Restructuring of the group's balance sheet has included significant debt repayments, pension contributions and reinvestment in U.K. water. We returned £1.5 billion to shareholders in July, and our share buyback program is underway. The share buyback program is sized up to £400 million with £110 million being executed to date. The completion of this program remains subject to other water opportunities that the group may pursue in line with our established financial disciplines. Finally, I think it's important to note the net debt amount excluding fair value uplifts. Following the acquisitions of both Bournemouth Water and Bristol Water, included in group net debt is a fair value adjustment linked to the mark-to-market of the debt on the respective acquisition dates. This amount is then amortized to the P&L over the life of the debt and is not subject to any further mark-to-market exercises. Therefore, the net debt amount that excludes these adjustments is much more representative of the loan amounts that will actually be repaid on maturity. And going forward, it will be the more relevant net debt measure. I talked earlier about our robust operational cash flows, and these are critical in supporting our capital investment program. This period, we have increased the pace of CapEx investment by around 30%. Part of the increase is the inclusion of Bristol Water with the balance relating to advancements of capital schemes to address targeted operational improvements with a focus on pollutions and leakage. Investment has commenced on our new Alderney water treatment works in the Bournemouth region, the state-of-the-art treatment facility. We use the same leading-edge technology that we recently deployed to our Mayflower treatment works in Plymouth. This innovative technology uses fewer chemicals and is being built with a focus on sustainability. Our agile and efficient financing strategy leaves us well positioned in the current environment. Our relatively low level of index-linked debt minimizes the impact of inflation compared to our peers. And this, together with our approach to hedge, results in a sector-leading effective interest rate of 2.9%. This sustainable position reflects our debt portfolio mix, which has an average maturity of 17 years and includes a substantial proportion of floating rate debt, which we hedge in line with the regulatory methodology to lock in performance. I talked earlier about the work done following the Viridor sale to position our balance sheet sustainably. The additional pension contributions we have made over the last few years, including £23 million this half year, are aligned to our approach of derisking our pension obligations and have resulted in our principal pension scheme moving into a surplus of £50 million at September. Bristol Water's pension scheme is fully derisked with a surplus of £8 million at September. Part of Pennon's commitment to investment in U.K. water alongside the acquisition of Bristol Water is to deploy £100 million into our water businesses, in part to support our Green Recovery investment initiatives. This £100 million is planned to be delivered later in the year and will result in a de-gearing of our water businesses. Notionally, this will result in a gearing level of around 62%, which we expect to further delever over K7 to be broadly in line with Ofwat's notional company structure. This sustainable position alongside our Sustainable Financing Framework leaves the group well placed to access markets efficiently and to support future investment and drive operational and environmental improvements in our region. The past 18 months have proved challenging for many companies and countries across the world. And as a result of global supply chain challenges, pent-up consumer demand and many other factors, we are currently in a relatively high inflationary environment. From a customer bill affordability perspective, South West Water's average bill today is lower than it was 10 years ago, and we are mindful of the impact of inflation. Pleasingly, our bad debt charge continues to be sector-leading at 0.6% of revenue. This is a reflection of the focus we maintain on customer affordability through helping eligible customers to access the rightful benefits, resetting their account or expanding our social tariffs. Looking at our cost base, wholesale power costs represent 10% of our underlying operating costs. Energy prices in recent months have increased sharply as a result of supply concerns. We look to mitigate volatility around power prices through hedging and, in line with our net zero commitments, through increasing our energy generation and reducing our own consumption. For this year, we are fully derisked. And looking forward from here out to the end of K7, we are around 50% derisked through hedging and our own generation. In addition, we are pursuing opportunities to accelerate our net zero investment plans, which would increase this proportion further. More broadly, inflationary impacts on Pennon are positive. The following year's revenue is linked to inflation, as is the annual growth in our regulatory capital value, which drives further revenue into the next regulatory period. Given our cost and debt profiles, these effects will more than offset the inflationary impact on our cost base and interest charges. So whilst the immediate impact of inflation is on costs and interest charges, subsequent growth in revenue drives value over the long term. And with that, I'll hand back to Susan.
Susan Davy : At our heart, we are a purpose-led business characterized by our New Deal. Our focus is on doing the right things in the right way, enabling us to deliver resilient performance, deliver sustainable returns, demonstrating strong credentials for both organic and acquisitive growth in the U.K. water sector and leaving us well positioned for the future. The cornerstone of our New Deal with customers has ensured we prioritize what matters most and we do what's right. We're on track to deliver our Board pledge of outstanding customer service by 2025 with a 60% reduction year-on-year in complaints performance and an improving C-Mex position compared with the same time last year. We are doing more than ever before to engage with customers and communities. We continue to extend our reach by supporting communities with a range of funding, covering physical health and well-being, education and positive environmental outcomes. This year, this has included Cornwall Air Ambulance, Axminster and Lyme Cancer Support and The Hollow Lane Club, who support children and young people. By keeping bills as low as they can be, we support overall customer affordability. In parallel, we continue to support those customers who are struggling most to pay their bills. We have completed over 4,500 virtual customer visits, unlocked £3.8 million of financial support for customers struggling to pay their bills, and we continue to expand our affordability toolkit with around 68,000 customers now benefiting from one or more of our social tariffs. Through innovation and the use of technologies, we are able to identify, test, pilot and then replicate new ways of working to deliver continuous improvements in operational performance. Turning to wastewater, one great example is how our teams are using nature-based solutions such as i-Phyc, an algae-based solution to reduce phosphorus and micro-pollutants. We are also pioneering the use of HYBACS technology to increase treatment capacity where it is needed most. And we are using artificial intelligence to monitor the condition of our networks and predict potential service issues such as flooding and pollutions. As a result, we've seen both internal sewer flooding and sewer collapses reduced by 40%, ahead of our 2025 targets. And external sewer flooding has also reduced by 20%, resulting in our best-ever performance. There's no doubt that improving river and coastal water quality has become center stage as water-based recreation, such as wild swimming, have become more popular, and the pandemic has strengthened the bond we want to have with open green and blue spaces. With a track record of improving bathing beaches in the South West, our analysis shows that 100% of our beaches have achieved stringent bathing water standards for the first time ever with 98% achieving good or excellent status, making them some of the best beaches in Europe. These improvements were achieved by delivering investments ahead of plan and pioneering nature-based solutions, restoring, protecting and enhancing land to reduce pollution levels. Taking the learnings from our improvements in bathing water quality, we are planning to further reduce our impact on river water quality by 1/3 in the period to 2025. We continue to work proactively with farmers to reduce the agricultural impact on river quality, which contributes around 46% of the reasons for poor river health in our region. At the same time, as part of our Green Recovery investments, we are piloting schemes on the rivers Dart and Tavy to understand the whole river health with the ambition of moving these rivers into bathing water status in the future. We maintain that our pioneering catchment management approach for over 15 years is fundamental to help unlock the environmental challenge we all face with 91,000 hectares having been improved today and catchment management being undertaken across 80% of our region, working with over 1,700 farmers. These activities lead to reduced ammonia and phosphate runoff, thereby improving overall river quality. We're also well advanced with plans to plant 250,000 trees by 2025, more than doubling our original target, which we achieved 4 years early. Ensuring a supply of clean, safe and reliable drinking water whilst protecting this natural resource is fundamental to what we do. Once again, this is an area where we have been successfully piloting and trialing new technologies to drive performance and increase efficiency, and we've seen a 30% reduction in mains repairs using EZ valves. Supply interruptions consistently are ahead of target, benefiting from investment in acoustic loggers and advanced telemetry which predicts faults. And we've maintained our best-ever performance in unplanned outages ahead of our 2025 target. Since becoming CEO just over 12 months ago, one of my priorities has been to reduce pollution levels. We have halved performance compared to the same period last year, and we are delivering on our Incident Reduction Plan, but we accept there is still more to do. Once again, innovation and technology have played a key role predicting potential issues and enabling us to repair or upgrade the network proactively in addition to a mindset and cultural change to the way we view our role in protecting and enhancing the environment. We've also started to see improvements in leakage performance compared with last year, with a similar approach to innovation and technology using satellite scanners and fixed acoustic loggers to proactively detect leaks. Operationally, our approach to innovation and efficiency is helping us to deliver regulatory outperformance with 85% of ODIs on track or ahead of target with 7 areas of excellence. Through delivering on our Pollution Incident Reduction Plan and an improved leakage performance, our overall performance for the half year is a net reward of £3.5 million compared to a penalty in the prior period. South West Water is continuing momentum of return on regulated equity outperformance with a consistent RORE of 7.8%. Our efficient financing strategy continues to deliver a 2.9% effective interest rate, significantly lower than Ofwat's nominal cost of debt at 4.2%. And whilst recent increases in RPI and CPI are driving an increase in finance costs of index-linked debt, our flexible financing strategy and diverse debt portfolio enables us to outperform. Our approach to innovation through piloting, testing and then replicating has also enabled us to deliver efficiency savings as we make best use of nature-based solutions, use data and AI to better target investment and deliver economies of scale and capital investments such as bathing water improvements. This efficiency is also enabling us to provide optionality and headroom for further investment, for example, with our £80 million renewable energy program now underway. Our acquisition of Bristol Water in June this year has also contributed to our half 1 financial performance and is ahead of expectations, delivering £7.2 million of profit before tax. Having received unconditional clearance of the non-household investment in water to business, the review of the acquisition with the CMA is ongoing with an update during late December. Operationally, performance is balanced with leakage and C-Mex ahead of target and improvements in water quality and per capita consumption being targeted. I said earlier that at the heart of any great business are the people who work in it, who live in the region and who love what they do. Our recent inclusion in The 5% Club recognizes employers who are united in creating a shared prosperity across the next generation of employees. Supported by our largest-ever apprenticeship program, our first-ever graduate intake and our continued advocacy of the Kickstart scheme, we are creating more opportunities than ever before. We're also passionate about creating a diverse and inclusive place to thrive for our 2,500 employees and the communities we support. As the first water company to sign up to the Change the Race Ratio, we are also looking forward to taking on our first cohort of black interns and have increased female diversity to 30%. It's thanks to our dedicated employees that we have continued to deliver resilient service through extreme variability as a result of increased demand, tourism and population growth, placing significant demands in our networks, assets and services. As we know, the climate crisis is the single biggest challenge facing us all. Proof of whether COP26 was a success will not come until the end of next year, the deadline for countries to submit strong emissions reduction targets. A year is a long time in the climate crisis. Evolving our environmental strategy, we have set out our plans to achieve net zero by 2030 and additionally committed to achieving Science Based Targets. Our 3-pillar strategy of sustainable operations, championing renewables and reversing carbon emissions is key. Supporting our ambitions to 2030 is an £80 million investment program. Later this month, we will be publishing our climate risk and adaptation report, which will underpin our plans for PR24. And with a responsible and sustainable balance sheet, we have the flexibility to enable free to foot investment for the environment. Our pilot, test and deploy approach to innovation is helping us to mitigate any risk for customers, the environment and our stakeholders. And it's an approach teams right across the group have been using successfully for many years. Our Green Recovery pilots, whether these are testing smarter, healthier homes for customers or investing in inland bathing waters on the Dart and the Tavy, will be key in delivering a blueprint for future success. It's been pleasing to see Pennon Water Services now also delivering growth, targeting sustainable brands and continuing to differentiate in the market with leading customer service. Non-household demand impacted by the pandemic has been returning to near pre-COVID levels with proactive efforts to support struggling businesses with payment support mechanisms, meaning that cash collections remain robust. Doing the right thing, driving efficiency for the benefit of customer bills in turn gives us the right to grow both organically and through acquisition. The Green Recovery initiative is an example of organic growth and in base returns with the added benefit of being able to pilot areas to help develop innovative solutions to key issues. The incremental investment of £82 million represents 2.5% increase on South West Water's RCV, importantly, with no impact on customer bills in K7. Our recent Bristol Water acquisition, logical and accretive, will also deliver significant value, underpinned by meaningful benefits for customers and shareholders. The acquisition of Bristol represents a 16% RCV growth with synergistic benefits expected to deliver further growth based on our previous track record. A combination of our base, organic and acquisitive investments reflect a total RCV growth to 2025 of more than 30% from a base position of 11%, delivering sustainable growth for the benefit of customers, shareholders and wider stakeholders. At Pennon, we believe that in doing what's right, it leads to a right to grow. In summary, we are reporting resilient operational performance across all our businesses in the group, underpinned by innovation and efficiency. We're driving good, positive momentum in driving sustainable growth. With a focus on ensuring we are well positioned for the future with talented people doing great things for customers and each other, we are ready to deliver on our evolving environmental strategy today and for generations to come. Thank you.
Operator: Hello all, and welcome to the Pennon Group Half Year Results 2021 to '22. My name is Brika, and I'll be today's event specialist. [Operator Instructions] I would now like to hand the call over to our host, Susan Davy, Group Chief Executive. So Susan, please go ahead.
Susan Davy: Yes. Thank you, Brika, and good morning, everybody. Thank you for taking the time to join us this morning for our half year results presentation. I'm joined by Paul Boote, our Group Finance Director. So just -- watch the presentation, so a couple of points for me before we move to Q&A. As you can see from our results, robust set at this half year, very much delivering resilient performance underpinned by innovation and efficiency across the group. At South West Water, in terms of its business plan commitment, on track or ahead of expectations. Last year, we delivered 8% in terms of our ODI equipment, and this first half year, 85%. So there'll still be momentum there. Federal Services, our business retailer, also performed very strongly, supporting businesses as they rebound from COVID and winning a number of new contracts, which is [indiscernible] with national retailers, [indiscernible], delivering that EBITDA and PP growth. And going to our second pillar, which is around driving sustainable growth. The Bristol Water acquisition is, as anticipated, working its way through CMA process. We have had some conditional clearance for our investments in the business retail and waters business. But we are still awaiting the regulated water business review to conclude. Having said that, the performance of Bristol Water for the 4 months that we've had for this first half year, very much ahead of expectations. Second point just to raise in terms of sustainable growth and organic growth, our Green Recovery investment of £82 million, which we obviously have approved by regulators and government, is very much underway. Though an example -- great example of organic growth is obviously going to earn base returns and is giving us the ability to tie areas to help drive innovative solutions for the future, whether that's on smarter, healthier homes to customers or in transforming water quality where we focus on 2 pilots and we start undertaking. So we're very well positioned for the future. We've got great tons of people across the business delivering for customers and communities. And we're focused on creating that long-term sustainable value. We have, obviously, over this year, been making sure we're responsibly deploying our capital. We've delevered the balance sheet. We've contributed to the pension scheme, the pension scheme [indiscernible], and we've been reinvesting in UK Water. That's all supporting our EBITDA growth of 14.3%. Adjusted earnings per share is up 14.2%. And it depends on dividend policy of CPIH plus 2%, which results in a growth of dividend of 4.9% this half year. So I'll conclude that in terms of the opening remarks, and we'll go up to Q&A.
Operator: [Operator Instructions] And we have the first question on the phone lines from Ruisi Liu of Credit Suisse.
Ruisi Liu: Yes, can you hear me?
Susan Davy: Yes, we can.
Ruisi Liu: Three questions from me, if I may. So the first one will be regarding the submissions to the Environment Agency and Ofwat investigations. Are you confident that your controls can capture all the dispute for the investigation? That's the first one. The second one will be, what are you assuming for input cost inflation in the guidance? Will that impact your totex outperformance? And I guess my final question is, is there anything you can give us on the integration costs and synergy for Bristol Water?
Susan Davy: Okay. Great set of questions. Thank you very much for those. So we'll tackle them in order. First one, regarding the investigations across sectors from Ofwat and the Environment Agency. I mean it's probably fair to say that it's early days in terms of the review. There is data that I'm sure we'll be asked to submit, and we're awaiting some of those requests to come in from the Environment Agency. But obviously, when that comes in, we'll be submitting that. We work very transparently with the regulators, and we will do [take] part in this review. We all ultimately want the same thing, to make sure we understand and reduce the impact on water quality and improve impact from the environment. So early days in terms of review, but we have always been open and transparent with our regulators and shared information around ourselves. We have an annual report that we produce and produced one for 2020. That obviously is on our website and for our stakeholders to see. So we'll obviously be progressing through that review, and we will await the respective regulators to come in. So if we move on to the second question, which is the guidance around input inflation and totex efficiency deliveries, just to say it can be [from] our results. We're continuing to deliver efficiently. Very important that we do deliver efficiencies. It helps keep that [field] customers as low as possible, both benefits get shared with customers when they're delivered. We have delivered cumulatively, in Page 7, £94 million of totex efficiency. But Paul, do you want to talk about the inflation piece?
Paul Boote: Yes. Thank you, Susan. So in terms of inflation, as you rightly pointed out, clearly, inflation impacts us in a number of ways, and costs is one of those elements, and I'll perhaps talk about the other elements as well. And if we reflect on the current environment we're in, we're clearly in a higher inflationary environment than we have been in the past. There are inflationary pressures caused by supply chain issues and consumer demand, all effectively linked to the COVID-19 pandemic and recovery thereof. So I think there are these pressures out there. In terms of our results for this half year, we haven't significantly seen those pressures coming through in those results. However, we are seeing the supply chain signaling those changes coming through. So as we move into H2 and beyond, I would expect an element of that inflationary cost pressure to come through to our cost base, and of course, as you're sort of articulating that, will then flow through to some extent to our totex. I think it's worth noting that that's obviously one element of inflation, and we have other elements to consider as well. So for us, really, revenues are linked to inflation. So the following year's revenue will link to CPIH set in November and also our regulated capital value. As we move forward, it will also pick up and grow in line with that inflation rate. And that will then drive further revenues as we get to the next regulatory period. So whilst there may be a slight increase in costs coming through, we will also have more than [outlay] by revenues into the longer term. And then perhaps just considering the final aspect of inflation, that tends to focus also on interest. So we have some of our interest with our debt is linked to inflation. We have about 26% of our gross debt linked to inflation. Therefore, increases in that rate will see our interest costs increasing. That's very much a 1-year impact as that will reset depending on where inflation goes in the future years, but that will also be feeding through into this year. And you can see that already in the half 1 results where we've got higher interest costs. And still with the sector-leading interest rate, we do have higher interest costs on an absolute basis. And we will see that continuing to H2 and depending on where inflationary expectations go to if that continues to rise. And obviously, that will follow that in that trajectory. So inflation is also the other aspect -- sorry, interest is also the other aspect where inflation hits. But in summary, worth remembering the revenues and the RCV fundamentally linked to inflation, and that will more than offset the increases in the cost base and the interest charges that we see.
Susan Davy: Okay. Thanks, Paul. I think the last question was around Bristol Water and the integration costs and synergies. I suppose just to note, I said at the beginning, in terms of the CMA process, as anticipated, that's still ongoing. I mean what I will say is that in terms of the conversations and discussions we've been having with CMA and Ofwat, we are submitting the proposals that demonstrate how customers from companies can -- from both South West Water and Bristol Water can benefit from this acquisition. And some of those benefits come from the operational synergies and the financial synergies that we will be making once we are able to merge those businesses. So we will update the market in due course once the Ofwat and CMA review has concluded. But we're not at this stage yet. We are very focused on making sure that there will be benefits that will be derived from that acquisition.
Operator: We now have another question on the line from Bartlomiej Kubicki from Society Generale.
Bartlomiej Kubicki : This is Bartek Kubicki from SocGen. I would like to discuss 3 issues, please, with you. Firstly, on volumes, I understand in the first half and probably in the whole 2022, you will see an abnormal level of demand from households. And as a consequence of that, I suppose, in [T plus 2], you will need to return those extra revenues you are getting on extra volumes to customers. Could you actually specify what the extra volumetric impact which will need to be returned in T plus 2 is? And also, I suppose, once you have higher demand, there's also incremental costs associated to that, which will -- I understand, which will not be recovered in T plus 2 . So could you also tell us what is the sort of -- what is the incremental cost of every, whatever, £10 million of extra revenues coming from abnormal water demand? That would be the first one. Second one, on this 4.9% ROE you pointed to from Bristol Water, could you actually split it into ODI, totex and financing? And lastly, since your acquisition of Bristol Water, what are, for the moment, your biggest sort of surprises and the biggest disappointment following the acquisition?
Susan Davy: Okay. Great. Well, thank you, Bartlomiej, for those questions. Paul, do you want to pick up the volume point?
Paul Boote: Yes.
Susan Davy: I mean, obviously, we have been having more volume, as you might imagine, in the southwest. I mean it has been a region where not only we have businesses as a result of tourism since the pandemic began but also have more residents in the region. Many of the homes in the southwest -- I mean 1 in 17 homes are second homes in the southwest, and we have many more residents. So yes, our volumes and demand have been elevated as a result of that. So Paul, do you want to talk about how, what in terms of the revenues and the costs?
Paul Boote : Yes. And I think it's -- Bartlomiej, thank you for the question. So I think it's worth remembering that it's very much revenue total that we've looked at in this way from an Ofwat perspective in terms of the allowed revenues that we have. So taking that in mind, yes, it is household demand, but it's also non-household demand. So it's looking at the whole picture and then working out the revenue level. So I think it's worth noting in terms of that demand, we've seen real changes from COVID-19. When I would be here this time last year, we'd be talking about significant changes in the non-household demand substantially, and household demand increased substantially. Now a year on, sitting here again, and it's not quite the opposite that I'm saying. So what we're saying now is that household demand has actually remained at an elevated level. So that has remained high as people perhaps are more in our region. So lots of people, as Susan has already said, have second homes down in the southwest, and we believe they're -- we'll will offer them more actively than in the past and previous year. So we are seeing that household demand being at an elevated level. And then alongside that, we're seeing non-household demand recovering back, which is very pleasing as businesses have reopened following the restrictions that eased back in June and July. So that's just to talk about the demand dynamics that we're seeing. Now in terms of revenue, yes, that does mean we've got higher revenues than perhaps we would have anticipated. And the way Ofwat revenue mechanism works where we do overrecover, as you rightly indicated, we'll be cutting that back. And that, in a sense, is not specifically volume assessed. It is more assessed in terms of [indiscernible] revenue that you actually achieved. But in terms of -- I'll just give you a flavor in terms of the impact of volume on our costs. I believe that was one of your questions you asked about a while back. I think we indicated in our announcement that it's more around £2 million is the sort of figure that we're seeing coming through to -- additional costs because of the volume that we're seeing above where we were previously. As I said, that increase in volume primarily relates to non-household demand when we look on period-on-period. But in terms of the revenue that we passed back, obviously, when we get to the end of the year, we'll be able to assess that compared to the [FB] allowance, and then that will flow back over the rest of this regulatory period to tariff changes.
Susan Davy : Okay. Thanks, Paul. And the last question was around the RORE for Bristol and to have that 4.9% breakdown. I think the base return for Bristol is 4.43%, and the difference between the 4.43% and 4.93% is outperformance that they are having across all 3 areas, totex, ODI and thirdly on financing. So it’s coming from all 3 areas.
Operator: We now have the next question coming from Jenny Ping of Citi.
Jenny Ping: Two questions from me. Just firstly, on the £400 million buyback or the residual of the £400 million buyback, are you still very much committed to doing that as a buyback? Or given where the share price is, is alternative methods of returning the cash on the agenda to be looked at? And then secondly, again, on the £400 million residual, on the M&A element, can you give us an update on how your search is going in terms of any assets that you could be looking at? Just a general update. Obviously, we talked about it at the full year but would be keen to hear where you are on that.
Susan Davy: Okay. Thanks, Jenny. Maybe I'll take the last one first and then I'll hand it to Paul for the buyback. So in terms of our growth strategy, yes, it is twin-track, so organic acquisition, hence, the Bristol Water acquisition. And we've always said and we said that before we made the Bristol acquisition that we'll be very measured in terms of looking for opportunities and seeing the potential that there is there and making sure that it's a good fit with the group, and importantly, that it works overall both for customers and the shareholders. So we have nothing to announce today, but obviously, we will continue to update the market if there is anything that we need to in that area. So Paul, I'll hand over to you for the buyback.
Paul Boote: Thank you, Susan. Yes, so the buyback that we announced back in June of up to £400 million to be delivered over the period out to 30th of September 2022 effectively remains unchanged in terms of that process and that position. And as Susan has articulated, we continue to look at M&A opportunities and the completion of the buyback will very much be subject to that. To date, we've executed £110 million of that £400 million. So obviously, there's £290 million potentially to go subject to where we may get to. And then you specifically asked about potentially other methods of delivering it. I think when the Board and Susan and I considered the range of options in terms of use of deployment of capital and capital allocation back in June, clearly, we talked also about £1.5 billion dividend that came through as well as the reinvestment into U.K. Water through the Bristol acquisition and repayment of debt at PLC level and increases in pension contribution. So the buyback should always be thought of and seen very much in that lens of that diverse capital allocation that we put together as a package at that time. And now we're just moving through the delivery of that announcement, which, as we keep saying, is subject to any opportunities that we may wish to pursue.
Jenny Ping: Can I just challenge you on that? Obviously, your share price is at different level back when you decided to do the combination of cash return and share buyback. Clearly, share prices have moved on. I just wondered whether there has been further thoughts about the best way to return that cash to shareholders, the most value for money.
Paul Boote: Yes. So we did – I mean we very much consider that as part of the positioning in June, and that’s why we have that split of the £1.5 billion and the £400 million. The £400 million is simply not in the way of like-for-like with special dividend because, clearly, that’s been positioned over time. But also when we talk to our investors about the method that they would like to see capital return, we did have, if you like, a split of opinion. Therefore, we are meeting the aspirations of our investments, as you have on us, by splitting that mix of returning some via dividends and some via a share buyback. So there’s lots of factors that have gone into assessing the methods and then the appropriate split between the methods, and that’s where we’ve planned it. Now in terms of the buyback, the way we are pursuing that and proceeding with it, we’re very much not taking a call on the share price at any particular time. This is about delivering a return of funds to shareholders. So we’ll have returned £1.9 billion assuming we do complete this – the buyback, which, as I keep saying, is subject to other opportunities, we’d have returned £1.9 billion, £1.5 billion through special dividends. So I think it’s worth noting that, that all needs to be considered alongside each other. And obviously, we’re quite pleased with our share prices right now, but we won’t be changing our view in terms of delivery of the share buyback in that regard.
Operator: We now have Martin Young of Investec.
Martin Young: I have got a couple of questions, if I can, please. The first is just to sort of tap into your big picture thinking in a couple of areas. The first of those is what the potential longer-term opportunities might be from the ongoing Ofwat and Environmental Agency investigation because quite clearly, there's an element of split responsibility here for these issues. But the problem, I think, everybody recognizes and wants to solve. So to me, that lends itself to a need for incremental investment somewhere down the line. So just wondered what your thoughts on that would be. And then the second big picture question is around M&A. You've made it perfectly clear that you are willing to consider further M&A in the regulated space. But I just wondered what your sort of big picture view of where the water sector will ultimately land in this country. Do we need to be thinking around the migration towards 10 water and services companies and basically the progressive eradication of the stand-alone walks? And then my second question was just a simple one, hopefully around the guidance that you put out this morning, the vast majority was unchanged, but you did indicate that you'd expect operating costs in South West Water to go up versus a flat position as communicated to FY '21. Is that increase being absorbed or more than absorbed by everything that you said this morning on the revenue side of things from increased demand?
Susan Davy: Okay. Thanks very much for those questions, Martin. So perhaps I will start with the big picture questions that you asked and certainly around the ongoing investigation that's been undertaken by the EA and Ofwat. I mean, I think in terms of where we see ourselves in terms of water quality expectations, I think, from communities and from customers have exponentially increased. So I think whilst we have assets and networks that obviously fulfill what they're required to do and have basically valves in place for times of storm. That obviously relates to the environment in a way that is authorized. If there is, I think that growing need and no doubt that improving water quality, whether it's river or [beverage], become center stage in the minds of the public and especially in our region as well. Recreation like swimming and other amenity requirements around our water are becoming ever more popular. And I think the pandemic has really strengthened that bond. We want to have with open, green and blue [indiscernible]. So I definitely think there is an expectation shift, and that has exponentially increased. So I think there are 2 things to focus on here, what's happening now and make sure that our investments -- and we have significant investments in this instance to improve water quality in our region. We know in our regions for river water quality, we probably account for around 19% of the regions were not achieving good ecological status in our region. And from the investments that we're making in the period to 2025, we reduce that impact by [indiscernible]. Now that's great, and there is more to do, and we will be obviously investing to get that down to 0. But if we're 19%, it means that there's 1% of activity going on in our catchment that are causing that 81% of regions that are achieving good ecological status, some of the landowners and farmers and other industries. Now we are working and have been for a number of years, we are working in our catchment with over 1,700 of our farmers to improve the situation from land use so that the water policy in our region improves. And that has been gradually happening over time. Our pilot around capital management are showing, but we are having reductions in mainly [indiscernible] that are coming from those activities. So if I think about the future in the big picture, then there is certainly exponential expectations that have increased from society around water policy. And we will need to think about how we manage that, how we deal with that and how we achieve that. And so there will be investments that are needed. We have put into our plans for Green Recovery, which is why we did it, 2 pilots for the Dart and Tavy. So the Dart and Tavy are again waters that are used recreationally by many in the region and by businesses. And what we want to do is look at pilots and on those rivers to understand what's happening in the catchment there, what can we do to improve water quality. And we're testing some of the aspects, so thinking about separation, we're thinking about more catchment management to help alleviate the impact on the river and move that to a designated saving water. So that's part of the pilot work that we're doing. And I think taking that approach of testing, piloting, proving [indiscernible], as we've done this catchment management in the past is going to be a way of setting the investment going forward. So that's the kind of big picture around where do I think this is going in terms of water quality. I think society have this demand that directly say that the water quality has improved and that we focus on it. There will need to be a change in the way we think about achieving that. And then we will obviously have to have those conversations about the total investment that goes a lot in it. So that was the question around water quality. I think the second question, Martin, that you asked was around M&A. Now the reason that we have this twin-track approach around M&A and organic is with our experiences with the Bournemouth acquisition, and obviously, we're working through the Bristol acquisition at this point. So we have proposals that we've put through to the regulator and to the CMA in terms of the Bristol acquisition. We think it makes sense for customers. We think it makes sense because we can deliver not just operational synergies and benefits but also service benefits as well. That's what we're really focused on doing. And we did that with Bournemouth, and we're going to do that again with Bristol. So if you ask me, what do I think about the sector overall and where does that go, well, I think if we can and have that step change in benefits that come through, and even if it's an acceleration that you get, then that is worth happening. So I think in terms of an overall sector, it's worth considering. And if you think about the other regulated sector in the U.K., there are 16 comparators in the U.K. water. There are a lot more number in the other regulated sectors. So this idea of how many comparators do you need, obviously, some are regulated in the southeast and [indiscernible], but I do think that we have to weigh up what are the benefits that can be derived from these mergers. And we can see there are benefits, not just in terms of efficiencies, which in turn lower customer bills, but also in terms of operational service as well. So that's our view in terms of M&A. And then the third question, I think Paul would do.
Paul Boote: Yes. In terms of operating costs, I think was your question, Martin. So I think if you cast your mind back to when we would have put the original guidance out for this financial year, we would have, again, been in lockdown. So again, it's one of those interesting times is it's hard to work through quite what's going to happen in the year in terms of the levels of demand, which, again, we've touched on to other questions today. So I think the guidance being updated to reflect our operating costs reflects 2 things really. It does reflect the fact that we have seen higher demand perhaps than we would have anticipated when we were in lockdown, obviously, not knowing quite how businesses would come back and what will happen to the population in the southwest and fact that could people go on holiday elsewhere in the world, not really, and that one in southwest is very, very busy over the summer. So we have had this very, very busy period, which has also then put pressure in terms of cost to serve. So therefore, having seen those higher costs in H1 matching the higher revenue, we feel it's right to obviously note that in our guidance and update it accordingly. And then to your point, that has been absorbed by our revenue to date. But I think there's perhaps a separate point about, as I was saying earlier, inflationary pressures potentially coming through in H2. We will obviously see to what extent that comes through, but that is also encapsulated within that guidance change.
Martin Young: But do you think revenue in the second half of the year is sufficient to mitigate the upward pressure on OpEx?
Paul Boote: Yes. Well, that’s what we’ve seen to date. All things being equal, we anticipate that being the same.
Operator: We now have James Brand of Deutsche Bank.
James Brand: Congrats on the progress made in the half. Just 2 questions from me, relatively brief ones. Firstly, on incentive performance, you obviously did better this year on ODIs, a little bit worse on totex and kind of similar in terms of your overall RORE. Is that likely to be reflective of what we'll see throughout the period? You don't bet on the ODIs and maybe a little -- obviously, you're doing amazingly well on totex, but a little less well on totex? Or would you expect the totEx performance to kind of recover to where it was last year? That's the first question. And secondly, on inflation, do you think -- do you anticipate the sector coming under pressure from government or from the regulator to forego inflationary price rises over the next year or maybe 2 years given that, obviously, it looks like CPIH inflation might be 4%, 5% this year. I guess we'll see the November prints next month, but -- and possibly even next year. I think your real price rises are quite neutral, so maybe you're in a better position to forgo that pressure and others, but just be interested in your thoughts on that.
Susan Davy: Okay. Thanks, James, and welcome in Q&A. So in terms of the first question, which was around our performance, whether it’s about ODI or totex. So I think you said in terms of ODI, you’re absolutely right, our ODIs have moved from our net [indiscernible] in that net reward division in this half year, which is where we want to be. And we are improving in terms of our commitments that we made, which is great, and we’re on track for the around the 85% of our equipment that are being delivered. So really a good place for that. In terms of totex, I mean, you did say, yes, we’re performing well on totex. We continue to drive that momentum through. Is this forecasted? The one thing we’ve always said is we don’t forecast our – but we do tell you where we are every year, and we are very confident that we would do very well on the RORE at the start of this regulation period and we’re continuing that momentum around the doubling of base returns, and that’s very well. And I think in terms of totex, it is this performance, this target performance – there may be some ups and downs in half year, but overall, newer delivery £94 million of cumulative totex outperformance, which get shared with customers, which is a growth phase space. So bringing back to your second question around inflation and bills and customers. I mean we’ve been reflecting on this. And there’s 2 things really to say. First thing is bills in the Southwest are lower today than they were 10 years ago. So yes, we do focus on making bills as efficient as possible for our customers, and that’s why we do focus on totex and totex outperformance that get shared with customers. And unlike the ODI mechanism, doesn’t [indiscernible], it actually brings it down when you deliver on those pension to get cut back to customers, which is why it’s really important to focus on all areas, whether it’s totex, whether it’s ODI, whether it’s financing. But the one measure that is unique to us work that [indiscernible] is WaterShare. And our WaterShare first scheme obviously is about sharing benefits with customers over and above the regulatory model. And we are ready to share those benefits through our financing outperformance, which we’ve committed to doing through the regulated period. So we’ve had our first issuance of WaterShare at the beginning of the period, and we’ve stated in the results today that we’re looking forward to a second issuance of WaterShare. Again, it’s about sharing benefits to customers. So the first issuance, customers were able to either get shares in the [indiscernible] off the bill. And obviously, the second issuance we’ll be doing the same again. The only difference being we’ll be offering that to Bristol customers as well, so they’ll be able to get [indiscernible] off their bill. So I think we are unique in that sense. We have fortunately got our WaterShare mechanism, which allows us with our independent WaterShare panel as well to review our performance in the [indiscernible], and we are already delivering for customers both and across the regulatory model, but it is something that we will continue to expect on with our independent panel as we move through this period. But that’s the reason we set that mechanism up, something that served us very well. And we have 116 customers to announce shareholders in the business.
Operator: We now have a question from Dominic Nash of Barclays.
Dominic Nash: I've got a couple, although I think the first one is split into 2 subsections, if that's okay. And just kind of following up from a couple of questions we've had on inflation. We've obviously seen -- I think the last, say, RPI is, what, 6% year-on-year as of October and CPIH to 3.8%. So the first question I've got here is the RCV that you quote and is in the final determination, as I understand it's based on the CPIH number with a 1% wedge. What sort of log up, log down are we looking at now if we're going to put through a widening wedge between RPI and CPIH? And does that mean that we -- that the numbers that we're seeing are undercooking what your actual underlying RCV is? And the second one on this is the cost of -- your financing outperformance that you're going to be putting through is going to become quite high with your low cost of debt versus the high inflation allowed cost of that. Can you just talk us through the true-ups and the sharing? So how much of the financing gets shared with consumers? And on the true-up of that, could you just remind us again what proportion of that gets shared with consumers via the regulatory model of the new debt, sort of fixed cost of debt number? So that's your first question. Apologies if that was a bit long-winded. And then the second one, could you just remind me again on the pros and cons of outperforming the 3 main sections of the Ofwat regulatory targets? And why don't you reinvest the totex number -- your totex outperformance to provide a better service for customers and returns through the ODIs as some of your peers are doing?
Susan Davy: Okay. Well, thank you for those questions. I'll start with the last one first, and then we'll come back to the other 2. So in terms of our outperformance, we very much have a strategy as we incentivized in the regulatory model, and we're clear in our business plan that we want to outperform across 3 areas of financing, totex and ODIs. So it is great that we are back into a net reward approach in half 1 for ODI. Now I think it's really important that we focus on all 3. I think that gives us the best benefit to the customers. Just to [indiscernible] deliver efficiencies, it's really important to [indiscernible] possible and to delivering efficiently to achieve that is something that we focus on and why we've been looking at the innovations in our business on both the water and the wastewater side. Think about how we can deliver for our customers in a cost-effective way. So definitely we have to focus on all 3 areas. And I also think that in terms of delivering against those [indiscernible], it is a mix of ways of working as well as the investments that we've got in our business fund. If there was a need to reinvest for the benefit of our customers and investments in the future, then we would consider it. But I absolutely believe the right strategy to deliver on all 3 [indiscernible] overall and in fact, the customers overall that you are achieving for 3. That's it for the last question. In terms of the first question, which is around the RCV and what happens from the business plan and the wedge that we see as part of the RCV and what does that look like now with inflation.
Paul Boote: Yes. Yes, that will depend on actually when we get to over the 5-year cycle. For example, last year, that wedge was smaller and, therefore, adverse in that sense. And as rightly you're saying right now, that gap is much larger. And therefore, that will lead to us at the end of the answer. It will go potentially up depending on where inflation positions itself over the rest of this regulatory period. So there will be an adjustment to reflect that. And then you talked about the debt and the financing performance and the sharing of that. So as you rightly point out, we're very much sector leading in terms of our financing performance. And in terms of sharing mechanisms that are in the regulatory model this 5-year period, the focus of that is on the iBoxx and where you're setting for new debt issued in the period. Now the regulatory model assumes a new debt in the period, I think, was around about 30%, averaging that over the 5 years. So the vast majority of new debt is not new debt. It's the older embedded debt, and that in itself is simply not subject to those sharing mechanisms in that way. So any sharing is in relation to performance against the iBoxx for new debt. So when we're looking at that performance to date, clearly, that's heavily driven by the embedded debt position that we have. And therefore, the vast majority of that would be [indiscernible].
Dominic Nash : Can I just follow up then. So the RCV that you actually quote nominal for September 2021 does include totex outperformance, log up, log downs. It's like a shadow RAV number and that doesn't include...
Paul Boote: No. So the one we're quoting in the presentation will be the RCV.
Dominic Nash: So we need to log up for the RPI number and potentially log down a bit from totex and log up for the ODIs basically to get to an underlying [indiscernible].
Paul Boote: Yes. And we do put that in the APR every year. But obviously, you’ll have to wait for this year.
Operator: We now have a final question from Verity Mitchell of HSBC.
Verity Mitchell: I'm just looking at your debt. Very helpful slide. So the £100 million that you've redeployed in the business, looks like it's gone to reduce the gearing in Bristol Water from 69 to 60. And so that brings it into line with regulatory assumptions. I just wanted to just check how much index-linked debt Bristol has. Is it sort of adding to index-linked portfolio? And then the second question is just the very helpful Slide 29. How is the organic growth, the £82 million actually being funded given that the £100 million has essentially been used to repay debt in Bristol and South West Water?
Paul Boote: Okay. So Verity, picking up your first question in relation to that £100 million. So I think it's worth noting that £100 million at the moment as yet we put to use in those old companies, and that's why we're showing it pre and post. And it's very much a notional position, clearly, until we do put that money in and put it to work. But the plan is very much just put the money into water businesses in this financial year. And as you've noted, the split of the £100 million really is designed notionally to reset those gearing levels down towards the notion. And obviously, you can see the large impact that has in terms of Bristol's positions. So I think that probably covers the £100 million on the plan there for that. In terms of your earlier question regarding Bristol debt, so yes, they do have a higher proportion of index-linked debt than we see in South West Water. But we've put on the slide the combination of the 2 water businesses together, the aggregate position, if you will, and that shows that we have gross debt of around 26% when we have both together as index-linked.
Susan Davy: Okay. And then I'll take the last question was around the Green Recovery investments and how we kind of we've got the injections coming around gearing. But I think just going back to Dominic's question around efficiencies and delivery, then we see we're delivering efficiencies against our business plan. We've delivered £94 million cumulatively so far. The use of having efficiencies on totex is it gives you headroom for options and investments and to manage those. Obviously, with the Green Recovery, we will get it true up at the end of the period, so what we have said, but obviously, that gives us headroom for investments as we drive those efficiencies.
Verity Mitchell: So just to clarify, so the £82 million is essentially being funded in this current AMP through extra headroom generated by totex. But that's not going to be offset. You're going to expect to recover that and pay it.
Susan Davy: Yes. So the agreement – yes, that’s exactly what we put forward in order to manage that through the period, we knew we have hedging through delivering efficiency to allow us to do that. So there’s no impact to customer sales until true up at the end of the period.
Operator: As we have no further questions on the line, I would like to hand it back to Susan for some closing remarks.
Susan Davy: Great. Thanks very much, and thank you, everybody, for joining us this morning. So that concludes -- show continuing to deliver for our customers, communities and the environment and whilst we focused on long-term sustainable value for shareholders, and underpinned by our sector-leading policy. Thank you.